Executives: Mary K. Waggoner - Senior Vice President of Investor Relations Frank R. Martire - Chairman, Chief Executive Officer and Chairman of Executive Committee Gary A. Norcross - President, Chief Operating Officer and Director James W. Woodall - Chief Financial Officer and Corporate Executive Vice President
Analysts: Ashwin Shirvaikar - Citigroup Inc, Research Division David J. Koning - Robert W. Baird & Co. Incorporated, Research Division Brett Huff - Stephens Inc., Research Division David Togut - Evercore Partners Inc., Research Division Glenn Greene - Oppenheimer & Co. Inc., Research Division Darrin D. Peller - Barclays Capital, Research Division Gregory Smith - Sterne Agee & Leach Inc., Research Division Andrew W. Jeffrey - SunTrust Robinson Humphrey, Inc., Research Division Tien-tsin Huang - JP Morgan Chase & Co, Research Division Ramsey El-Assal - Jefferies LLC, Research Division Daniel R. Perlin - RBC Capital Markets, LLC, Research Division Timothy W. Willi - Wells Fargo Securities, LLC, Research Division
Operator: Ladies and gentlemen, thank you very much for standing by, and welcome to the FIS Third Quarter Earnings Conference Call. [Operator Instructions] Also as a reminder, today's conference is being recorded. I would now like to turn the call over to your host, Ms. Mary Waggoner, Senior Vice President of Investor Relations. Please go ahead.
Mary K. Waggoner: Thank you, Perky, and thanks to everyone joining us this morning for our third quarter earnings report. Frank Martire, Chairman and Chief Executive Officer, will begin today's discussion with a summary of our Q3 and year-to-date financial performance. Gary Norcross, President and Chief Operating Officer, will follow with the business summary and operations report. Then Woody Woodall, Chief Financial Officer, will continue with the detailed financial review, including our outlook for the remainder of 2013. Before we begin, I would like to cover a few housekeeping items. First, today's news release and the supplemental slide presentation are available on our website at fisglobal.com. Next, please refer to the Safe Harbor language on Slide 3 of the presentation. Today's remarks will contain forward-looking statements. These statements are subject to risks and uncertainties as described in the press release and other filings with the SEC. The company undertakes no obligation to update any forward-looking statements, whether as a result of new information, future events or otherwise, except as required by law. Today's remarks will also include references to non-GAAP financial measures in order to provide more meaningful comparisons between the periods presented. These non-GAAP measures are outlined on Slide 4. Reconciliations between the GAAP and non-GAAP results are provided in the attachments to the press release. Now we will continue with the earnings report, which begins on Slide 6. I will now turn the call over to Frank Martire. Frank?
Frank R. Martire: Thanks, Mary. Good morning, everyone, and thank you for joining us on today's call. FIS's third quarter performance was strong by all measures, as we delivered on all key metrics of growth, profitability and cash generation. Organic revenue growth accelerated to 5%, driven by strong performance within our International business, which grew 12%. EBITDA margin increased 50 basis points, and adjusted EPS rose 17% to $0.74 per share, while free cash flow increased to $229 million in the quarter. For the 9 months ended September 30, we delivered organic revenue growth of more than 4%, margin expansion of 40 basis points and 14% growth in earnings per share. Our cash generation and disciplined capital management have enabled us to return more than $0.5 billion to our shareholders since the beginning of the year through a combination of share repurchases and dividends. I am pleased with our solid results this quarter. Based on our performance through the first 9 months and our expectations of a continued healthy demand environment for the remainder of the year, we are confident that 2013 will be another good year for FIS, which is evident in our updated guidance. Woody will provide more details regarding our guidance later in the call. Looking ahead, we are excited about the future of the company. We are committed to delivering value creation through continued strong financial performance, coupled with a consistent return of cash to our shareholders. On behalf of the management team, I would like to thank our clients and our shareholders for their ongoing support, and our employees for their dedication and commitment to driving our continued success. Now I will turn the call over to Gary to share more about our performance and business strategy. Gary?
Gary A. Norcross: Thanks, Frank, and thanks again to everyone for joining us this morning. We continue to drive solid results, demonstrating our ability to deliver consistent performance and execute our strategic plan. We are particularly pleased with the growth in our International business, and we are on track to achieve our full year financial objectives. My remarks today will focus on 2 areas, the first being key sales highlights, which are driving organic growth and performance results, including in-quarter highlights from each of our 3 markets. The second area is the global market trends that reinforce our innovation investments and are driving demand for FIS solutions. Turning to Slide 8. I will begin with an overview of key sales highlights. We see ongoing demand in all the markets that we serve. We continue to add new clients and expand existing relationships for new logo sales and cross-selling to existing clients. We are also seeing continued opportunities around large and complex deals in the international and global financial institution markets, where FIS is uniquely positioned to deliver comprehensive consulting, technology and outsourcing service and support. We feel good about the strength of the sales pipeline and expect new sales contract value in 2013 to exceed our 2012 results. Next, I will provide sales highlights for each of our 3 key markets, North America, international and global, beginning with our International business given their accelerated progress this quarter. Echoing Frank's comments, we are very pleased with the momentum in our International business. Organic growth accelerated to 12% in the quarter, with double-digit growth across all geographic regions. We are executing against our sales plan and remain encouraged with the strength and quality of the sales pipeline. We continue to see increased opportunities around long-term outsourcing arrangements, which provide more predictable revenue and profit streams. There is great growth potential in Europe given client demand for solutions that improve their efficiency and profitability, which play to our strengths. As an example, Barclays Bank recently renewed its existing core processing relationship and in doing so will upgrade to the latest release of our core banking platform, giving them access to a much broader solution set and functionality. In addition, we are seeing opportunities to penetrate the mid-tier market in Central and Eastern Europe, where we recently launched a new real-time, cloud-based, core banking utility solution with our hosting partner. Turning to Asia. We continue to see strong demand for core processing upgrades, including Heihan [ph] Credit Union in China and KBank [ph] in Thailand. In addition, we are having tremendous success deploying our switching technology in new markets throughout Asia, which further signifies the success we are having to leverage our technology capabilities across our global business. As we announced earlier this month, FIS has been selected by eftpos to build a new centralized payment hub in Australia, replacing the existing bilateral networks. This is an important signing, as approximately 70% of Australia's debit transactions are processed through eftpos. FIS will provide ongoing processing under a multi-year agreement. Moving next to our global financial institutions market, we are making focused investments to expand -- further expand and grow our relationships within GFI. As we have discussed in prior calls, this market consists of the largest financial institutions in the world doing business across broad geographic areas. Demand is active in this market for a strong partner to help free up resources and capital to achieve transformative, profit-producing, customer-centric innovation. We are currently involved in active discussions with several prospects involving large, multi-year transformational outsourcing projects around global wealth, commercial and retail banking operations. These dynamics are also driving very good growth in our consulting business, both in North America and Europe. Finally, in our North America market, we see continued opportunities around our full range of solutions. While there is a consistent bias towards outsourcing, we are also seeing activity around in-house platform upgrades. There are several examples of key cross-sell activity in the quarter, including the Bank of Montréal, which will deploy our best-in-class check imaging software, and with Northern Trust and Bremer Bank, who will deploy our Mobile and Consumer eBanking solutions. Bremer, as you may recall, recently migrated to our FIS core solution. We also saw continued demand for our services and infrastructure support capabilities, including expanded agreements with SunTrust and ING Direct. Additionally, we are very pleased to announce a new call center agreement with MCX, where we will help bring their mobile commerce solution to market through a suite of FIS solutions and services supplementing our existing relationship. Across all these markets, financial institutions continue to shift investment dollars away from internal cost centers and redirect their spending toward growth by improving integration across channels and driving new ways to interact with their customers. The desire by consumers globally to bank anytime, everywhere, is fueling important change around the delivery of financial services, which is accelerating interest in our broad range of digital channels. This leads to my second discussion area, FIS solution innovation. We are very pleased that our investment in solution and service innovation are hitting the focal point of market demand. Driven by a consumer-centric use of mobility, social channels and the opportunity in analytics, the financial services industry is in the midst of the most significant evolution involving customer delivery in 40 years. This evolution drives financial institutions, retailers and alternative payment providers to engage with consumers in new ways and to build customer loyalty through digital channels, which is fueling new opportunities for partnership and collaboration. Our longstanding relationships in the core banking, payments and retail space place FIS in a unique position to help move the industry forward. As a result, we are seeing very strong interest around our FIS money movement solutions, including our Mobile Wallet with Cardless Cash Access. Many of you had the opportunity to preview this solution at our investor update. It was also recently showcased at the Money2020 conference, which garnered significant national TV and syndicated news coverage and very positive feedback with conference attendees, including the newly planned launch by City National Bank, which we announced in early October. FIS Cardless Cash Access will be deployed in Los Angeles, San Francisco and New York City over the next few quarters. Additionally this quarter, we introduced our new FIS Active Analytics suite, which helps financial institutions tap into new revenue streams through more precise segmentation and dynamic cross-sell capabilities. FIS Active Analytics is built using our extensive data analytic capabilities, which include market-leading merchant offers, loyalty and rewards programs, as well as segmentation and tailored pricing capabilities. This suite and our digital solution investments underscores FIS commitment to lead the industry in delivering innovative solutions that drive new revenue, expanded wallet share and expense efficiencies and create deeper, more profitable relationships for our clients. Turning to Slide 9. In summary, we feel good about our competitive position in all 3 of our markets and our ability to generate new sales, as evidenced by our continued growth and strong overall performance. We continue to advance our business objectives to accelerate growth in our international market and invest to further expand and grow our relationships within global financial institutions. We are seeing strong market interest in our innovation, especially in solutions that are modernizing customer interaction models, such as Cardless Cash Access solution and Active Analytics suite. Finally, we are very pleased with our progress and results. Our momentum is strong. Demand for our solutions remain substantial. All of these are very good indicators that 2013 will be another year of strong, predictable performance from FIS. Now, I'd like to turn things over to Woody for the financial update.
James W. Woodall: Thanks, Gary. I'll begin on Slide 11 with a summary of our consolidated results. Consolidated revenue increased 5% on both a reported and organic basis after normalizing for currency and acquisitions. EBITDA growth outpaced revenue growth, with an increase of 6% to $470 million. As a result, EBITDA margin expanded 50 basis points to 31.3% from 30.8% in the third quarter of 2012, reflecting favorable revenue mix and disciplined cost management. It's not on this slide, but other income and expense was $7 million favorable to last year's third quarter, primarily due to investment gains that were realized on the sale of marketable securities and foreign currency gains. The investment gains were contemplated when we put our plan together for 2013. Adjusted net earnings from continuing operations increased to $218 million, and adjusted earnings per share increased 17% to $0.74 from $0.63 in the 2012 quarter. As Frank said, it was a very good quarter any way you look at it. Year to date, revenue increased 4% on both the reported and organic basis. Adjusted EBITDA increased 6% to $1.35 billion, and the margin expanded 40 basis points to 30%. Adjusted earnings per share rose 14% to $2.07 per share. Next, I will continue on Slide 12 with the review of segment results. Financial Solutions revenue increased 2% to $579 million in the third quarter and grew 1% organically, driven by the growth in consulting and digital delivery channels. Financial Solutions EBITDA increased 7% to $239 million, and EBITDA margin expanded 170 basis points to 41.4%, driven by disciplined cost management and increased termination fees compared to the prior year quarter. As anticipated and communicated on prior quarters' calls, Financial Solutions have had particularly difficult comparisons related to prior year de-conversions, which affected growth in current year processing and professional services revenues. Turning to Slide 13. Payment Solutions revenue increased 4% to $602 million, reflecting growth in document output solutions, card loyalty programs and network solutions. Strong software license sales and higher termination fees also contributed to the revenue growth. In the third quarter, our check-related business experienced growth due to strong license sales, which resulted in an increase in revenue to $115 million from $107 million last year. Year to date, revenue from these businesses was $324 million, consistent with the same period last year. Payment Solutions EBITDA increased 9% to $255 million in the quarter, and the margin increased 170 basis points to 42.4%, driven primarily by favorable revenue mix. Now I'll cover our International business on Slide 14. Organic revenue growth in our International business accelerated to 12% in the third quarter, driven by double-digit organic growth in all regions. The growth has been driven by strong sales execution, implementation of deals previously sold and ongoing demand for consulting services. International EBITDA increased 14% to $81 million in the third quarter. EBITDA margin expanded 110 basis points to 25.3%. Corporate expense increased $18 million to $106 million in the quarter, driven by higher incentive compensation and health care costs. This is consistent with the level I guided on last quarter's call. Moving on to cash flow on Slide 15. Cash flow from operations totaled $311 million in the third quarter of 2013. Capital expenditures totaled $82 million or approximately 5.4% of revenue, which brings us to free cash flow of $229 million compared to $193 million in the prior year quarter. We continue to anticipate free cash flow for the year to be in line with adjusted earnings. Our uses of free cash flow during the third quarter remained consistent with our capital allocation priorities of investing for future growth, maintaining a strong balance sheet and returning cash to shareholders. As depicted on Slide 16, we returned $189 million to shareholders in the third quarter, including $64 million in dividends and $125 million in share repurchases. We repurchased 2.7 million shares in the open market at an average cost of $46.69 per share. Year to date, we have repurchased 8.2 million shares at a cost of approximately $350 million. The share repurchase program drove a decrease in our diluted share count to 293.2 million in the quarter from 297.9 million last year. At the end of the quarter, basic shares outstanding were 291.1 million. Approximately $300 million remains available under the existing share repurchase authorization. Debt outstanding totaled $4.8 billion as of September 30. The weighted average interest rate was 3.8% at quarter end. Total debt to EBITDA was 2.7x. This is slightly above our targeted debt-to-EBITDA ratio, which is at or slightly below 2.5 turns. We anticipate reaching our target by the end of the year. Moving on to Slide 17. We are updating our outlook for the full year. We now expect reported and organic revenue growth of 4% to 5%, an increase from our previous range of 3% to 5% for organic growth. We continue to expect margin expansion to be towards the lower end of our original 30- to 50-basis-point range for the full year due to revenue mix. We have narrowed our range for adjusted earnings per share to $2.80 to $2.87 per share, which represents growth of 12% to 15%. This compares to our prior guidance of $2.77 to $2.87. Finally, we continue to expect free cash flow to approximate adjusted net earnings. Before I open the line for questions, I would summarize a few key takeaways for the quarter. The third quarter was a very strong quarter by all measures. We are encouraged by the accelerated organic revenue growth rate in our International business. We are updating our guidance to increase the lower end of our guidance ranges for organic revenue growth and earnings per share, and we remain focused on deploying cash in value-enhancing ways, including investing for future growth, maintaining a strong balance sheet and returning cash to shareholders. That concludes our review of the third quarter results. Operator, we can now open the line for questions.
Operator: [Operator Instructions] And our first question comes from the line of Ashwin Shirvaikar with Citibank.
Ashwin Shirvaikar - Citigroup Inc, Research Division: I guess my first question is with regards to the large deals that you continue to sign and have signed already. Can you provide us with an update on how some of them are progressing? Deals like Sainsbury in India, and I know the eftpos thing is new, but on that. And related, I wasn't clear if the BMO check imaging thing is incremental to what you had, or were you just announcing a, like a milestone or something like that?
Gary A. Norcross: Yes, let me -- Ashwin, this is Gary. Let me hit these, and then the guys can add anything they want. The BMO one, the check imaging deal was incremental. That was a new win for us. And we've obviously got substantial presence in the check imaging business, and so that's a very nice win by the team in North America, selling that product to BMO. Sainsbury is doing very well. We're still in the process of finalizing the agreements, but as we announced last quarter, we're actively already engaged into, with the client on deployment. And that bank will be ramping up throughout 2014, and they're already paying for the services that we're providing to them on the professional services front. So Sainsbury is going very well from a project standpoint, implementation standpoint and even sales standpoint. You also highlighted the India ATM business. That project is going very well. I was over there earlier this year. I'm scheduled to go back over there in the next month. But that project is progressing on target, on budget, on schedule. So we're very pleased with the results, and we're starting to see, obviously, some of the results of these projects flow through the financial results of our International business. The eftpos deal just got signed, so it's just getting started, but once again, will be a very significant project once we get that fully deployed throughout 2014.
Ashwin Shirvaikar - Citigroup Inc, Research Division: Okay. And your comment with regards to 2013 bookings being better than 2012, should we expect that to have a corresponding benefit on revenue growth in 2014? Was that the implication or is there something different about the nature or term or ramps associated with these contracts that you've been signing that can affect that?
Gary A. Norcross: Well, we'll certainly talk and provide guidance for 2014 at the start of next year, but we do believe that our total contract value metric that we follow internally is a good indicator of our sales engine, and we do look for that sales engine to push more sales results than the prior year. And as you would expect, that's a good contributor force for the future. These contracts come on in different timeframes. Some of the projects are longer in nature, and some of them are short, like the BMO license deal on the check imaging. So we'll provide guidance early next year, but we think the sales engine is performing very well in the market.
James W. Woodall: But Ashwin, to restate the obvious, right, the more of the larger deals we get signed and sort of in our backlog, the better visibility we have into our revenue growth in the out-year.
Frank R. Martire: Yes, you look at that, Ashwin, and you look at the larger deals, and some of them take a while to come on completely. But when you look at the years 2014, '15, '16, they'll have significant impact.
Operator: And our next question comes from the line of Dave Koning with Baird.
David J. Koning - Robert W. Baird & Co. Incorporated, Research Division: Yes. And I guess the segments are all doing quite well. The one that slowed down a little bit is financial. I know through 2012, it grew kind of 6% to 8% through the year, and this year, it's decelerated a bit. Maybe you could give a little more color on that and if this is kind of a short-term slowdown. It sounds like the pipeline is so good that we shouldn't really worry about it much, but just wondering kind of what's progressed kind of in the last 6 quarters or so.
James W. Woodall: Yes, I think we tried to kind of give you some color around that last quarter and this quarter on that. We had a large de-conversion last year, so we had processing through the third quarter last year around that, as well as services connected to the de-conversion. We also had a full ramp-up of another global commercial services deal in the third quarter. So it had some pretty challenging comps in the third quarter. Tried to give you guys some color around that. I think it's more short term in nature than long term in nature.
David J. Koning - Robert W. Baird & Co. Incorporated, Research Division: Okay, great, great. And then I guess the one other thing I just wanted to ask a little more about is I know this year -- I think the M&I termination fees were going to be in the ballpark of $40 million. Just if that's kind of on track and then that's kind of the headwind that we can expect into 2014. Is that still pretty fair?
James W. Woodall: Yes, no shift in the BMO termination fee. That $40 million and the timing of that $40 million is exactly what we've been talking about for a number of quarters now.
Operator: And our next question comes from the line of Brett Huff with Stephens Inc.
Brett Huff - Stephens Inc., Research Division: A couple of questions. One, as we think about -- and I know you're not giving guidance for '14, but I just want to make sure that as we think about the 30- to 50-basis-point margin expansion this year and we're coming at the lower end, I think, because of some of the mix, as we look to next year, I think everybody's trying to figure out, have we sold enough this year in the bookings to help the grow-over in EBITDA next year from M&I, but just given the margin profile this year at the lower end of the range, how should we think -- what are the benefits that are going to get us potential margin expansion next year as we look forward?
James W. Woodall: Yes, good question. I think a couple of things. One, we have been talking and seeing a good bit of change in mix. We continue to see less and less software sales as a part of our overall revenue composition compared to the relative size of professional services. Those professional services are adding overall growth in revenue and producing good profit dollars, but they don't come on at the same margin rate as the processing dollars. So we've seen sort of some expectation around the lower end of our range there. Those term fees come on at 100% margin, so they're challenging to replace that profit. But we have seen very good growth in professional services. We've seen very good growth in a number of our different new innovative type services. So we feel really good about the revenue side of the equation for next year. Margin, we continue to look at cost every year. We continue to make sure we take a turn at the dial and get as efficient as possible every year, and we'll give further guidance in 2014. But we feel good about the profile we've laid out for you guys, that sort of 4-year profile on 4% to 7% revenue growth and 30 to 50 basis points of margin expansion. So we're still hanging on that guidance.
Gary A. Norcross: Yes, I think that's right, Brett. I mean, when you look, I mean, obviously, we said very early on, when you start looking at replacing M&I, it's going to come on in a number of different forms and a number of different areas, whether we highlighted some of the international success of India ATMs in Sainsbury, but frankly, even some of the electronic delivery channels that I highlighted in my prepared remarks. When you look at the volume adoption there as well, those products come on at very high margins as they can continue to grow. So to Woody's point, there's going to be a different mix, but we're very comfortable with our guidance for the future, and obviously, we'll be sharing more about that in 2014.
Brett Huff - Stephens Inc., Research Division: That's great. And just one follow-up. Can you give us a TCV for the Australia eftpos? I think that we were all pleased with how large the India ATM deal, and I'm trying to figure out, is the TCV sort of that size? Or can you give us any color on that?
Gary A. Norcross: Yes. No, we're going to try to stay away from individual deals. It would be considered in our pipeline a very large transaction for us, but it is smaller than the India ATM transaction. But it's definitely a very noteworthy signing for us in Australia.
Operator: And our next question comes from the line of David Togut with Evercore.
David Togut - Evercore Partners Inc., Research Division: Can you update us on the growth in the Banco Bradesco joint venture in Brazil, specifically, what type of year-over-year account growth you saw in Q3 and what sort of growth you expect over the next 12 months or so?
James W. Woodall: Yes, I think as we talked about full color on international, we saw double-digit organic growth in all regions. And that would be Asia Pacific, Europe, as well as Latin America. Looking at the rest of Latin America outside the joint venture, we saw very significant growth and saw double-digit growth in overall Latin America, including right at double-digit growth in the joint venture. We continue to see good adoption there. We continue to see additional services and add-ons there. So very pleased with how the venture continues to perform. We wouldn't change any of our outlook. We continue to believe we're going to get double-digit growth out of that entity for the foreseeable future, Dave.
Frank R. Martire: And what we like is that all of the regions grew, internationally, for us, so we were pleased with that.
David Togut - Evercore Partners Inc., Research Division: Can you sustain double-digit revenue growth in Brazil despite the slowing in the economy?
Gary A. Norcross: Well, right now, yes, I think for the foreseeable future, as Woody said, I think we do believe we can. The joint venture is bigger than just Bradesco, but all of our partners continue to operate well in that market. Payments are growing very, very rapidly. As we all know, we've got the World Cup and Olympics coming. So there's a lot of big catalysts that we think will further propel the payments market for us. And so we do, we feel good about Brazil. And all indicators are across the board for us in that market is we're not going to see a significant impact in the foreseeable future.
David Togut - Evercore Partners Inc., Research Division: The check imaging business grew for the first time in -- it has to be many years. I guess if you take out the BMO check imaging deal, what do the underlying trends in that business look like? And how should we think about that business, let's say, over the next year or so?
Gary A. Norcross: Well, as we talked about in the past, David, check imaging, this is one of those businesses that you wouldn't get into in 2013, but we've been in it for a substantial amount of time. And frankly, our leadership in that group has done a phenomenal job. We actually saw growth in our processing business as well, just not the large software license deal. And as we talked about in the past, what's occurring is the volumes continue to drop in financial institutions, and they're now across the board getting to a level where people are looking to outsource that. And so our sales success has been strong in that market. Obviously, our leverage and scale is very, very strong as well. So it comes on at good revenues and good profit for us. So we think it's going to continue for a couple of years at least with being a positive contributor.
Frank R. Martire: And Dave, there's a movement towards outsourcing, because a lot of these who do it on their own, because the volume is going down and can't do it cost effectively anymore because of the unit cost. So there's a movement towards outsourcing for those who were doing it themselves, and obviously, that's an opportunity for us.
James W. Woodall: So Dave, if you go back the last couple of quarters, we had seen the rate of decline in that business beginning to slow. And we said a couple of quarters doesn't necessarily make a trend. Even if you pull the licensing deal out, that rate of decline continues to slow. So we've got 3 quarters in a row of good performance out of that business unit.
Gary A. Norcross: And that's as much as we're also bringing on new customers all the time in that business. So it's a combination of those 2 things impacting those numbers.
David Togut - Evercore Partners Inc., Research Division: Final question -- quick final question for me. Woody, you kind of reiterated the long-term model of 4% to 7% organic revenue growth. You're at the lower to midpoint of that range for this year. What would it take you to get up toward the higher end of that organic growth target over the next 12 to 24 months?
James W. Woodall: Well, first, remember this year had about 100 basis points of headwind from the BMO de-conversion. So looking at it in a more normalized view, we were more than that 4% to 5% already. If we continue to see the larger transformation deals, we continue to see heavy consulting. But these larger transformative deals could definitely accelerate growth for us.
Frank R. Martire: Yes, I think, Dave, if you watch for the pipeline on the larger deals, as we watch it closely and as that continues to grow, we become more confident of our organic growth and what it could be.
Operator: And our next question comes from the line of Glenn Greene with Oppenheimer.
Glenn Greene - Oppenheimer & Co. Inc., Research Division: I guess my first question, maybe a financial for Woody, but specifically on the financial margins, despite the somewhat soft revenue growth, which I know you sort of anticipated and called out, but maybe you can sort of help us understand how you got 170 basis points. And just broadly, I mean, you've been talking about the revenue mix not helping you, but the margins actually look really strong this quarter across segments. It seemed like the major drag was the corporate.
James W. Woodall: Yes, we saw some higher license fees in the third quarter than anticipated. We had kind of planned for, for full year, but think they may have flowed into the third quarter. We have, had seen a little higher termination fees in the course of the year, as well as through the third quarter, so we had a couple of higher-margin items that we had sort of planned for full year that flowed into Q3 versus Q4, Glenn.
Glenn Greene - Oppenheimer & Co. Inc., Research Division: Any impact to 4Q that we should thinking about as that relates to that?
James W. Woodall: Well, overall still, looking at the guidance, we kind of moved up to 4% to 5% on the revenue side of it, but we don't anticipate having that same level of licensing in the fourth quarter.
Glenn Greene - Oppenheimer & Co. Inc., Research Division: Okay. And then maybe for Gary, just a quick update on the Capco traction you're seeing both in the U.S. and Europe and maybe an update on MCX progress.
Gary A. Norcross: Yes, on Capco, we continue to execute very, very well. Our consulting business, both in U.S. and Europe, it continues to perform at double digits. The engagement in the global financial institutions, as I've talked about in my prepared remarks, I mean, we're really continuing to see great traction around consulting. So we're very pleased with Capco. We're very pleased with what's in our pipeline, and frankly, some of the results we've already had through some signings there. So Capco is continuing to be a great performer for us over the last couple of years. When you look at MCX, MCX continues to grow very well. I mean, we highlighted the Money 2020 conference, there was a lot of activity around MCX at that conference as well. We talked about the new signing of the call center business, which augments our prior signing with them. So our relationship continues to expand. And we think there's still good potential for that engagement in the long term to generate some meaningful revenue and profit for FIS.
Glenn Greene - Oppenheimer & Co. Inc., Research Division: Any idea on what sort of timeframe for like a full rollout of it?
Gary A. Norcross: We're leaving that up to them. I mean, they're in control of their timeframe. We're doing some work for them as we speak, and so -- but we're going to leave it up to them to roll out the timeframe for deployment.
Operator: And our next question comes from the line of Darrin Peller with Barclays.
Darrin D. Peller - Barclays Capital, Research Division: I just want to start off with, first, the mix again in terms of what's growing and what's really not, in terms of how that impacts margin, sort of as a follow-up question to earlier. Obviously, in the Payments side, we saw card loyalty and output you guys called out, as well as the network solutions. I mean, are those the areas that you expect to continue showing strength? And can you just touch on whether those are really margin-accretive or margin-dilutive to the rest of the business in the Payments segment? And then similarly for financials, a little bit more on Capco and just the consulting side overall, the sustainability and growth in that area, given sometimes it's perceived to be a little bit more discretionary at times, and the margin profile, how that can impact the margins of the business over the next year.
James W. Woodall: Yes, if you go to Payments, I think the ones we called out are the areas we continue to expect growth out of. I would tell you they come on at margins at or above overall company margins. So those revenue dollars are very high-quality revenue dollars, and we're excited about the growth in those areas. We're also seeing pretty good growth out of bill pay still, continue to see growth there, which is obviously good margin business as well. Moving to FSG, we've seen professional services, both in the Capco consulting dollars, but also in what I call sort of the traditional FIS consulting dollars. The traditional FIS consulting dollars are less discretionary. And if you look over the past several years, including through the financial crisis, those type services are ones that are more mission critical to the institutions. The consulting dollars are in fact that. They may be more discretionary, but as the institutions have come out and started looking forward again, how to repair brand, how to improve customer experience, how to reduce cost in their business models. We continue to see a lot of activity with the Capco group and the expertise those guys have in that area.
Frank R. Martire: And Darrin, in the area of Capco, too, it's interesting some of the things they're doing in change management and so on, where that's become much more sticky as we would say, because when a client decides to go and use us for doing it, it's not so discretionary anymore, right? They've committed to a certain process.
Gary A. Norcross: Yes, that was kind of the point I was going to make, Darrin. I mean, we use the term consulting to reference Capco. But the reality is what we've done over the last couple of years, the team's done an excellent job, while consulting is still a component, longer-term professional services, longer-term project work is becoming a broader and broader component of their book. So it gets -- it becomes a little less lumpy when you think about those, because those projects can spread 12, 18, 24 months. And then as Frank said, as we start getting into some of the change sourcing areas that we've announced in prior quarters, those are multi-years. So just like everything we've done traditionally over the years, as we've had a lot of businesses that will have lumpiness in their revenue line and we try to move those to a more reoccurring model. International is a great example of that. We've seen that at Capco. And then to Woody's point, when we think about the professional services on the FIS side, that's really wrapped around our FIS product. So it really is part of -- we've had professional services engagements that have been going on for 10 years because it's just part of delivering that product into our service for that financial institution. So we feel very good about managing the discretionary side of Capco at this point in time, as I've said, each becoming a smaller percentage of the overall revenue.
Darrin D. Peller - Barclays Capital, Research Division: All right, that's promising for next year. Just one quick follow-up on the -- back to the term fees and the timing. I know there's approximately $40 million expected and then about a 1% headwind from the overall for the year. But can you just give a sense on, again, timing on -- how much might have impacted this quarter's acceleration versus last quarter's year-over-year organic growth rate and then just remind us, I mean, all of that should roll off by the end of this year?
James W. Woodall: Yes, the BMO term fees were about $40 million, 70% first half of the year, 30% in the back half of the year, no shift in that timing at all. We did see a little bit of additional term fees in the quarter, as well as some licensing fees in Q3. And that's what kind of was favorable to the mix this quarter. That was probably -- the licensing fees were -- we anticipate a pull forward from Q4.
Darrin D. Peller - Barclays Capital, Research Division: Okay. And again, the whole 1% sort of net impact of all the different moving parts anniversary at the end of the calendar year, right?
James W. Woodall: That is correct, absolutely.
Operator: Our next question comes from the line of Greg Smith with Sterne Agee.
Gregory Smith - Sterne Agee & Leach Inc., Research Division: Can we just get what the actual term fee number was in the quarter?
James W. Woodall: I don't have that right in front of me. Hold on. I can get back with you on that one.
Gregory Smith - Sterne Agee & Leach Inc., Research Division: Okay. I mean, was it materially above, $70 million [ph]?
James W. Woodall: No, it wasn't materially above where we already guided to. We have the BMO number already in there. We had one other small term fee in there. But obviously, we're down to splitting hairs at this point. You're talking about something that's basis point of growth. I mean, you're not looking at a significant item for overall growth. The overall growth in the quarter was very solid across all markets.
Gregory Smith - Sterne Agee & Leach Inc., Research Division: Yes, okay. And then just wondering if you saw, in any of your Payment volumes in the U.S., did you see any impact from the government shutdown at all at the end of the quarter or into October?
Gary A. Norcross: We really didn't. We watched that very closely as you would expect, but no, we didn't see any impact.
Gregory Smith - Sterne Agee & Leach Inc., Research Division: Okay. And then is there anywhere just geographically where you're seeing the economy start to improve and potentially benefiting your business as we look forward? It sounds like you're seeing pretty good demand everywhere. But is the economy a potential driver of anything significant into the end of the year and into '14?
Gary A. Norcross: Well, I think as we talked in the past, and we continue to see that steady recovery, when you look outside of the U.S., really all of our geographic regions are doing very well. We're seeing a different demand depending on the region for the type of product and/or service that's being driven. But we continue to see good, steady recovery. Frankly, a lot of the areas in international or outside of the U.S. that are still having problems, we really don't do much in those particular countries. Then when we get into U.S., we continue to see strong growth in the large financial institution space and the global financial institution space, good interaction. Certain community markets, community bank markets, some areas of the country are actually getting down to the individual financial institutions. Some of those are performing better because they've just -- they've weathered through the market crisis better than others. But across the board, as you said, we're seeing good, strong demand and good, strong signings by the sales team.
Operator: And our next question comes from the line of Andrew Jeffrey with SunTrust.
Andrew W. Jeffrey - SunTrust Robinson Humphrey, Inc., Research Division: I've got a couple, actually. Just overall, it sounds like you feel pretty good about the integrated sales approach in FI. Could you just comment a little bit broadly on the competitive environment? Are you mostly competing with internal solutions when you go to market or third parties? And have your competitors changed in a meaningful way?
Gary A. Norcross: Yes, well, I mean, it's a good question. And honestly, the answer to that question depends on the type of institution and the size of the institution you're dealing with. Clearly in the community markets in the U.S., we're really not seeing a material change in our competitors, and it's been very consistent in our go-to-market strategy and our interaction with those competitors. As you get into the large financial institution space, especially in the global financial institution space, you're going to get into a different breed of competitor altogether. It typically is either going to be in-house developed or it could be other large consulting services firms, some of the large offshoring firms. So there's a very different mix of competitors in that space. Frankly, when we get over in international, I would say it's probably more heavily weighted towards in-house developed than even some of the other larger consulting firms. But the quick answer is it all depends on the size of the institution and the type of service that we're discussing with them.
Andrew W. Jeffrey - SunTrust Robinson Humphrey, Inc., Research Division: Okay. And if you look at your win rates, just globally, if you could generalize, would you say that they're stable or improving?
Gary A. Norcross: Yes, I would say we're seeing very good win rates in the deals we're pursuing across all of our markets. We'll still get frustrated from time to time because we won't participate in a deal for some reason. And we still lose some from time to time. But all in all, given the strength of our pipeline, frankly, given the strength of our signings year to date, we feel good about our sales team's execution.
Frank R. Martire: And on balance, we feel good about the results that we've had over the last several years and going forward.
Andrew W. Jeffrey - SunTrust Robinson Humphrey, Inc., Research Division: And then as a follow-up also, just looking at the U.S., obviously, you read a ton about mobile solutions in many different manifestations. I'm not sure that we've seen a pricing model emerge. Could you just opine a little bit on whether you think banks are going to charge their customers for access to mobile apps or wallets, whatever the case may be? And if not, what's the long-term economic model around those offerings?
Gary A. Norcross: Yes, no, it's a great question. We're seeing a little bit of all of the above at the moment. We have met with clients in the last 30 days that are charging a lot. They are charging and actually doing quite well with adoption and penetration, found customers who are pursuing a different path, where they're providing it as a service to their clients, to move some volume out of their more expensive channels. So I do think that the consumer is going to push mobile and some of these new transformative mobile channels, and so the result of that is financial institutions, like a lot of things that they've done historically around, charging for certain types of accounts or certain services, they're going to slowly move towards some type of a way to monetize that channel. And I think that it continues to be a consistent trend.
Andrew W. Jeffrey - SunTrust Robinson Humphrey, Inc., Research Division: And if they're challenged, does FIS still have a viable long-term revenue stream around those solutions?
Gary A. Norcross: Absolutely. I mean, we've been paid for years for channels that they've given away as part of their competitive advantage. People don't charge to walk into a branch, and we sell products and services for branch automation every day. And so whether a client charges for a particular channel or not won't have any issue around our pricing or our ability to grow that business.
Frank R. Martire: The determination for the banks is how to do it cost effectively. They have to make the service available. And it keeps growing, and they know it. That's their challenge.
Operator: And our next question comes from the line of Tien-tsin Huang with JPMorgan.
Tien-tsin Huang - JP Morgan Chase & Co, Research Division: I just want to build on Greg and Andrew's question, just I guess on enterprise sales or bank sales. Obviously, banks are facing a lot of compliance costs. I think looking at bank results, expenses were generally down. So surprised to see license sales coming through. And you talked a lot about core upgrades in general. So just curious, I mean, is there a greater force here that's driving bookings? Are you guys in the sweet spot and other places are getting cut? Just trying to understand sort of the health of discretionary spend and secular spending for banks in the business that you provide.
Gary A. Norcross: Well, I think there's a couple of things going on here. I mean, first, we've talked about it over the last several years. Our breadth of solution offering allows us to be able to sell into the financial institution given where they are prepared to spend money. So when you look at FIS, there's no one in the industry that has a broader product suite and a broader service mix than FIS. And so we get to capitalize in our sales cycle based on where the current project or current focus area is for a financial institution. So that is one backdrop. So if you want to call that being in the sweet spot, then we certainly will take that. But it's really back to the breadth of solution. When you look at some of these signings, that's why I had to mention multiple competitors in the earlier question. There's not a class of competitor out there that has everything that we have to offer, and therefore, we can maximize that in our sales channels. There's also -- keep in mind, Tien-tsin, these are mission-critical applications and services. You have to offer these type of services for the financial institution to operate. And so the debate here is not whether you're going to offer mobile or whether you're going to offer wallet or whether you're going to offer some type of other change-sourcing service. The question is when are you going to offer that. And so it's up to us to make sure that we've got the best solution in those areas and the most integrated solution and can drive the most benefit, to Frank's earlier comment.
James W. Woodall: And Tien-tsin, to follow up a little bit on that, too, one of our tenets is being able to offer our services and that reduced cost for the institution.
Gary A. Norcross: That's right, absolutely.
James W. Woodall: So as they look to us, it's helping them in that model of reducing discretionary spend and reducing cost in their overall business model.
Tien-tsin Huang - JP Morgan Chase & Co, Research Division: Yes, makes sense, the idea of cutting and investing. Just as a build on that, to Gary, the professional services side of it, I mean, now that you own that for -- you've owned that for some time, is that increasing your win share, you think, in general?
Gary A. Norcross: Yes, I think it is. I think we're seeing the benefit of being able to engage early on in the consulting. This is obviously more of a global financial institution comment or a large financial institution comment. But it's allowing us the ability to really get engaged on the front end when financial institutions are trying to diagnose the problem, right, and what the solution is to that problem. And that typically leads into professional services around project and program management and selection and deployment. And we've seen, through some of our announcements in recent quarters, that's now resulting in long-term services engagements. You're also seeing it over on our product side as well. A lot of the larger financial institutions, as they came through 2008, they froze their spend. And so as they've recovered and as they've started to invest, you're now seeing them turn to FIS, to invest in services around the FIS products they have to deploy to get them up to speed. We talked about Barclays earlier. That's a big move for Barclays, to move from a solution that they hadn't upgraded in a number of years up to our latest release. And so that will drive -- that's a long-term project. It will drive a lot of services and a lot of results for FIS as part of that.
Tien-tsin Huang - JP Morgan Chase & Co, Research Division: All right. It sounds like Capco is a good investment for you guys. Just 2 more quick ones. Just eftpos, is that -- I just want to clarify, that's a build-and-run scenario? And is there a big -- I know it was a bilateral before, but is anything unique to that from a technical standpoint in building it?
Gary A. Norcross: Yes, no, we'll be taking them to a more modern switching software, more modern switching solution. And so they'll get some very strong benefits from that. But there would be absolutely an ongoing processing relationship.
Tien-tsin Huang - JP Morgan Chase & Co, Research Division: Yes, so there's an ongoing piece. I guess that's kind of -- I wasn't going to ask it, but I guess I'll ask it, because it's kind of tied to the Durbin 2.0 stuff. But with this whole dual signature possibility here, given that you guys have done some builds -- switch building in the past, I mean, could you enhance the NYCE Network to be a more competitive signature equivalent, to the extent that the signature market does open up in diversity as mandated?
Gary A. Norcross: Yes, absolutely, we could, yes.
Tien-tsin Huang - JP Morgan Chase & Co, Research Division: Okay, all right. I guess we'll ask more if we know more about it.
Gary A. Norcross: Exactly. You'll monitor it just like we will.
Operator: And our next question comes from the line of Ramsey El-Assal with Jefferies.
Ramsey El-Assal - Jefferies LLC, Research Division: Following up on Tien-tsin's question about Durbin 2.0, you haven't seen any changing in the banks' budgeting process or any kind of incremental caution related to this, Judge Leon's ruling and banks potentially thinking they might have to spend some money down the line on revamping the systems based on that or is it just too far out?
Gary A. Norcross: I think it's still a little too far out. The quick answer is we've not seen any material change. I mean, we're having a lot of discussions with clients about that. But as we've shared in the past, typically any type of regulatory inflection historically has always meant good things for FIS. So any change is a -- promoting work for us, either around professional services, product deployment, processing, et cetera, but it's still a little too far out.
Ramsey El-Assal - Jefferies LLC, Research Division: Okay. On your Payments segment revenue, I mean, they came in higher than we've modeled, and the growth rate really ticked up nicely there. Can you talk about -- I think there's some higher termination fees and strong software licensing revenue. You talked about the dynamics on the check side. I guess my question is, how should I think about how sustainable is this uptick in the segment growth rate kind of going forward? How do we parse out the different kind of drivers there? What should we expect from the Payments segment in the last quarter here and in more general terms just going forward?
James W. Woodall: Well, I think we were a little cautious on the improvement in the check-related businesses for a couple of quarters. We are seeing good results out of that group and some of the things we've done there and the team's working very well there. So I feel a little better on that front. We're still seeing bill pay a little ahead of plan, so seeing good visibility there. Some of the license fee, again, might have been a little bit of a pull forward. But we're feeling pretty good about where Payments is heading.
Ramsey El-Assal - Jefferies LLC, Research Division: Okay. One last one for me. Can you update us on your non-FI business? I know there's been a recent presentation, it's now about 12% of revenues. Is this mostly check-related services, some merchant processing? What else is in there? And how should we think about the sort of overall mix going forward in your business from sort of FI to sort of non-FI revenue?
Gary A. Norcross: Yes, no, it's a great question. Certainly a lot of our merchant business is in there. A lot of our prepaid business sold to non-financial institutions is in there. Our government and tax business is in there. So the way we look at it, we continue to push payment products in those particular segments. I don't think you should see any kind of meaningful change in the percentage of the overall revenue of the company. In fact, I think some of the areas like International could continue to outgrow a number of those areas. But it's still a very good business for us. It allows us to leverage our processing scale. It also allows us to leverage our payment solutions in those markets. And the team is doing a good job executing in those groups.
Operator: And our next question comes from the line of Dan Perlin with RBC Capital Markets.
Daniel R. Perlin - RBC Capital Markets, LLC, Research Division: I just had a couple of quick ones. One is, Gary, you did mention branch automation, and it's kind of a theme that's building around some other companies. I'm just trying to understand, are you involved in the workflow process? Because it does sound like it would satisfy a lot of those dual mandates, bringing down cost, but investing for more efficiency. And I'm just not sure I fully appreciate your level of involvement there, so that would be helpful.
Gary A. Norcross: Yes, no, Dan, we've got a full suite of solutions that are not only dealing with workflow but dealing with automation around a lot of the channels and the interoperability of those channels. And so we continue to sell our products and services in those particular areas. But back to my comment earlier about the breadth of our product suite, really, when you start getting into a retail commercial banking environment, there's really not a product and/or service that we don't offer in that space today. And having good success and sales around and some of the things around workflow and loyalty and some of the active analytics comments I've talked about in the prepared remarks, all of that kind of ties together in some of the stuff we're doing around branch automation.
Daniel R. Perlin - RBC Capital Markets, LLC, Research Division: Okay. And just to make sure we're not getting over our skis going into the fourth quarter, Woody, you had talked about a $7 million gain in other income that was contemplated. Is there something else that's contemplated in the fourth quarter we need to be aware of?
James W. Woodall: No, that's really one we just wanted to make sure you guys picked up on that. We did include that in our overall plan. We weren't sure of the timing of when we would actually be able to liquidate the investment, but it ended up coming through in the third quarter. So no, nothing specific.
Daniel R. Perlin - RBC Capital Markets, LLC, Research Division: Okay. And then on the -- I'm going to go back to the Financial Solutions margin for a second. The termination fee looks like, based on our calculation, would have kept margins flattish. And so you talk about pulling forward some of these license fees into the quarter. And again, I'm just trying to keep myself from kind of getting over my skis in the fourth quarter. So if I think about it, we would have a similar amount of termination fees going into that quarter, but the license fees are probably going to get pulled down. And so I'm assuming margins have to come down sequentially, maybe materially in that division, is that fair to assume?
James W. Woodall: Well, I mean, I think you can do the math, right. If you look at what we were describing, as sort of low end of 30 to 50 basis points, at 40 through the first 9 months of the year, so I'm not really sure what's in your model, but you can kind of do the math and back into it from there. Net-net, we did see some license fee that we thought would probably be Q4 pulled into Q3.
Daniel R. Perlin - RBC Capital Markets, LLC, Research Division: Okay, fair enough. And then just one other one. Gary, in the past, you've talked about -- you've kind of framed up, actually, the size of these new deals, the percentage of new deals that were coming in over $50 million or above. Can you provide that level of detail again this quarter? Or are you just kind of moving away from that?
Gary A. Norcross: No, we're trying to give you some insight. I mean, clearly some of the deals that we're highlighting are very large in nature, and we continue to see the growth in our pipeline of these very large deals. So that has been a significant change for us over the last several years, and I think that is the benefit of bringing Capco into the company, but also just the investments we're making around, even at FIS in the larger bank market. And so these results -- some of these deals we're highlighting are very large by our definition.
Daniel R. Perlin - RBC Capital Markets, LLC, Research Division: Okay. And are there incremental costs that we need to be thinking about as you kind of take these on, since it is a big shift?
Gary A. Norcross: The nice thing about a lot of these is it's good project work. It's good processing work. It's really right in our sweet spot around products. So we think we'll continue to see good margin expansion in these areas. So other than -- we continue to ramp up people around some of our professional services, but it comes on at good margins for us all in all. So we're pleased with these signings.
Daniel R. Perlin - RBC Capital Markets, LLC, Research Division: Okay. And then just one last one, just quickly on PayNet. I mean, it seems to be getting an enormous amount of popular press. And one of the things that I think you said you have been working on was getting that to a same-day settlement engine. Are you there yet? And if not, what kind of timeframe are we thinking about there?
Gary A. Norcross: Yes, we continue to work on that. We continue to deploy that across certain payment types. And the team continues to make advancements around that. So we're comfortable. You're right. I mean, we want to now move it now into results, right. We've signed up a lot of customers. We've got to continue to build scale through that channel. But we're in good shape, and the team has done a good job of building out the capabilities in PayNet.
Operator: And our next question comes from the line of Tim Willi with Wells Fargo.
Timothy W. Willi - Wells Fargo Securities, LLC, Research Division: I have 2 questions. The first was, maybe some housekeeping, but could you remind us to any degree what kind of exposure you guys have to the mortgage industry? I don't recall it being noteworthy, but I just want to make sure there's not something we should think about relative to what we're hearing about slowing origination activity or anything like that.
Frank R. Martire: That's not an exposed area for us, on the mortgage industry side.
Gary A. Norcross: We don't have any.
Frank R. Martire: We don't have any.
Timothy W. Willi - Wells Fargo Securities, LLC, Research Division: Okay, great. I thought so, just wanted to make sure. Second is, going back to some of the stuff around Payments and MCX, and you were talking about some wallet initiatives earlier in the call. Overall, how do you see, I guess, FIS in this whole mobile wallet discussion? Do you think banks will try to sort of create their own wallets absent any real traction from sort of the first wave of players and you have an opportunity to be the engine behind that? Or will MCX sort of be probably the biggest wallet initiative you have? Just sort of trying to think multiple years out, how you guys might look in that landscape and in the Payments division.
Gary A. Norcross: We fundamentally believe, from a wallet standpoint, the wallet does need to be branded by a financial institution, right? And so we offer a very robust wallet solution that allows our banks to do just that, all right, that allows us to, allows them to brand their wallet under their name. I think a lot of people get caught up in wallet today. It's kind of the chicken or the egg scenario. And so some people are waiting on what they're going to do with their wallet strategy, waiting for it to be acceptable at the point of sale. I think that's what's very interesting about our Cardless ATM Cash Access product that we rolled out at investor update and then again at Money2020. Our message is -- and that's using the FIS wallet branded by the financial institution, our message is simple, is you need to start getting into this business and start training your customers to go to your wallet, because when it is available and readily acceptable at the point of sale, you want to go into that wallet for acceptance. So we think that's the right strategy with our financial institutions. It resonates well. We continue to be very financial institution focused. When you think about MCX, keep in mind, we're building all the rails and back-office support systems on MCX. And so it's key for us, as we've shared very early on is that allow the financial institutions to engage through that network, and we continue to work with MCX to make sure that happens.
Timothy W. Willi - Wells Fargo Securities, LLC, Research Division: Okay, great. And just one last question, I guess, on that topic there. Standards around mobile payments and wallets, I think, has probably been something that's not quite clear to the marketplace and inhibited the, I guess, the evolution. So by you working with MCX, in sort of their mission of sort of creating the standards that they want in place as retailers, do you feel like that inherently gives you any kind of a leg up around some of the other competitors in the wallet, that you're sort of right there at sort of the buildup of standards with the largest retailers over time?
Gary A. Norcross: Yes, we do. We believe that the MCX signing is a very strategic relationship for us. Of course, MCX has to be successful, and that remains to be seen. But as we shared on the last call, it's certainly a very well-funded initiative by a very large group of -- a consortium of large retailers. But as they work through their standards, as they work through their rules, we do believe -- and frankly, based on the fact that we're building out all the behind-the-scenes rails for MCX and doing a lot of back-office services, we believe that fundamentally does give us a good position to work with them in the future with our technologies and to benefit our financial institutions.
Mary K. Waggoner: Thanks, everyone. Today we've gone a little beyond our allotted time. So we look forward to speaking with you again soon. Please remain on the line for the replay information.
Operator: Thank you. Ladies and gentlemen, this conference will be available for replay starting today at 10:30 a.m. and will run until November 12, 2013, at midnight. You may access the replay service by dialing 1 (800) 475-6701 and entering the access code of 304206. You may also dial (320) 365-3844 and enter the access code of 304206. That does conclude your conference for today. Thank you very much for your participation and for using the AT&T Executive Teleconference. You may now disconnect.